Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Agnico-Eagle Mines Ltd. Fourth Quarter 2012 Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, February 14, 2013, at 10:00 a.m. Eastern Time. I will now turn the conference over to Sean Boyd, President and CEO. Please go ahead.
Sean Boyd: Thank you, operator, and good morning, everyone, and thanks for joining us today to discuss our 2012 year and our fourth quarter. I know it's a busy day for everyone, so we'll get started and I'd just like to -- everyone to take note that there are forward-looking statements in this presentation, so just be forewarned of that. I'll start with the highlights of 2012. We ended the year strong. We produced 1,043,000 ounces at a cash cost of $640 an ounce, which exceeded our guidance, which was updated twice during the year of 1,025,000 at $660. We got there essentially from strong performance from all of our mines, in fact. When you look at LaRonde, their cash cost was on budget. Lapa, their cost per ton was on budget. We saw some really strong performance out of our larger mines, Meadowbank and Pinos Altos. And in fact, Kittila had better than budgeted cost performance as well. So we saw good cost performance and also good output coming across the board from our mines. As a result, we generated record cash flow, almost $700 million or around $4 a share and on the back of that solid performance, our production guidance going forward for 2013 remains unchanged. Essentially, we look at 2013 as a building year, which sets the stage for our next phase of growth. Two of the projects that have the most immediate impact on that growth are Goldex and La India. They're both progressing well. Both projects are expected to go into commercial production in the second quarter of 2014. In addition to those 2 projects, we should see steady ramp up in production at LaRonde. I'll get into some of the details as that deposit or that mine accesses more tons from the higher grade lower part of the mine. This week, the board approved the first of what will likely be a series of staged expansions in Kittila. This one sees increase in throughput by 750 tons to 3,750 tons a day. We'll likely see the impact of that in our gold production in the second half of 2015. 2013, we'll see our 31st consecutive year of paying a cash dividend, which is something we're extremely proud of. On the reserve side, we maintained our reserves at 18.7 million ounces. Within that, we saw good increases in grade at LaRonde, at Pinos Altos and Meadowbank. On the resource side, we replaced 1 million ounces that we produced. We also added an additional million ounces, with some of those additions coming at key assets like Kittila and Meliadine. In terms of the financial numbers, 2012 saw 2 significant milestones in our 55 years of operating history. It was the first year that we produced in excess of 1 million ounces and it was also the first time in our history that we had gross mine operating profit in excess of $1 billion from our 5 operating mines. So that's a milestone we're proud of. We saw solid contribution from all of the mines and even our smallest mine, Lapa, contributed $100 million in mine operating profit to that total. So that's extremely significant, given we bought that asset for about $8 million and made a discovery on it with our exploration teams to result in that mine. So good value creation over time. Just looking at earnings and looking a little bit at the fourth quarter. We did see a quarter that, from a perspective of operating cost and production, was the weakest quarter in 2012, as expected. And that was largely driven by an expected lower grade production quarter coming out of Meadowbank. As a result, our cash cost in that quarter were the highest of the quarters, but as you can see, that was expected given the fact that we were lower than our full year guidance. We came in at $640 an ounce versus a full year guidance cash cost of $660. Financial position, still strong. We still have over $300 million in cash, $1.2 billion roughly in undrawn credit facilities and we have $830 million in debt. The first principal payment is not due on that until 2017 and it's $115 million. Looking at 2013 through to 2015, essentially unchanged for 2013. Production of 990,000, which was the estimate we gave you about a year ago. Our cash cost, the midpoint of the range is $725. A year ago, we said $720, so essentially unchanged. The key drivers for 2013, but also '14 and '15 is Meadowbank. When we began the year, our expectations, when we began 2012, our expectations were that Meadowbank was a 280,000 to 300,000 ounce per year mine. Based on our operating experience last year, it's more in the range of a 350,000 to 370,000 ounce per year mine and that carries a big part of the production base over the next 3 years. At LaRonde, we should see a steady but a bit slower ramp up. We'll get into some of the details in an upcoming slide. Kittila, we expect a steady output. It had a good performance in 2012. We expect continued good performance as we move forward. Lapa, short mine life. We're looking to extend that into 2016 with some exploration expense. In Mexico, our Mexican business is expected to grow over the next 3 years to about 300,000 ounces with the addition of La India, and that's one of our best cash flow generators from a business perspective given its low cash cost. And to add to '14 and '15 will be La India and the restart of satellite zones at Goldex. Goldex will be, as we've said, a smaller- and higher-cost mine given that we're focused on the satellite zones. Development's going well on those 2 projects from both a budget and a timing perspective. In terms of the cash cost estimate of $725, if we look at more of a total cost estimate, which would include cash costs, sustaining capital, our corporate and general administration expenses, plus exploration expenses, our cash cost would come in a little bit lower than about 11 -- our total cash cost would come in a little bit lower than $1,100 an ounce. Our growth profile. We've talked about it, it's about 20% growth from '13 through to '15 and the way we look at that is that it's steady. It's solidly achievable, it's manageable largely because it's production growth from existing assets and assets that we've worked out the major bugs. They're much more predictable and they're working well. In terms of net free cash flow, we estimate that going forward, we should see capital in the same range as what we're forecasting in 2013 of about $600 million. In 2013, that $600 million in CapEx is about $200 million in sustaining, about $360 million in our growth projects and $40 million in capitalized exploration expense. Looking at the operations in a bit more detail. LaRonde continues its ramp up. As we said, slower than what was expected. In 2012, we averaged around 4,000 tons a day from the lower mine. In 2013, we should see an additional 600 tons a day added from the lower mine. As we move into 2014, we should see another 600 tons a day added from the lower mine. So by 2014, in the range of about 5,200 tons a day. Accessing those lower-level tons increases our grade. We're anticipating a grade of about 2.7 grams per ton in '13. That was versus about 2.4 in 2012. We should see about a 30% pickup in grade going into '14 and about a 15% to 20% bump in the grade as we move into 2015 from the ramp up in LaRonde. LaRonde's still a key asset for us. Although the reserves declined a bit, the grade went up 3% and our reserve and resource total is 5.9 million ounces. So still a long mine life, generating increasing cash flows as we move forward and access a better grade material in the lower part of the mine. At Lapa, still a steady performer. As we said, it generated $100 million in operating profit in 2012, largely because of good cost control. It's a difficult mine, narrow. Underground, our team has done an exceptional job there. The task now is to try to extend the mine life through exploration and we're doing that, not only drilling but extending platforms underground to put ourselves in a position to drill open areas of the main structure. At Kittila, the transition to underground mining continues, its going well. In the fourth quarter, we averaged a little over 2,000 tons a day from underground. Our costs in Q4 were about EUR 70 per ton. Our recoveries were almost at 90% in Q4. In 2012, we had a record year at Kittila. We had record production and that was generated from slightly lower-than-budgeted grade, which was offset by higher-than-budgeted recovery. So we continue to see good recovery performance coming out of the plant and our cash costs as a result of that record production, were slightly below our budget at $565 per ounce. So very good performance coming out of Kittila. As we move into January, we've averaged about 3,000 tons a day from underground, which is the target. So the transition to the lower part of the mine is going well. We announced the approval of the expansion. That's $103 million largely spent in the plant, upgrading of the facility to handle the additional material. We are conducting ongoing studies at Kittila. We're looking at a shaft, which we feel is the most optimal way to mine the lower part of that deposit and in addition, that deposit is wide open at depth. We expect it to continue and we see a series of phased shaft-sinking expansions over time there to access the deeper material, almost like what we did at LaRonde for 25 years. Nice and steady allow the deposit to dictate how we reinvest dollars in a world-class asset. As far as reserves go, reserves are 4.8 million ounces. Our reserve and resource actually went up, went up about 7%. It now totals 7.9 million ounces and the growth in that reserve and resource came largely from the Rimpi area, which is an area of particular attention to us given its grade and its thickness and that still remains the focus of our exploration and development plans in 2013 at Kittila. In Mexico, very good business for us, with above average returns, the largest contributor to our $1 billion or so of mine profit at almost $300 million. Cash cost, below $300 per ounce. By 2015, we should be producing about 300,000 ounces when we add La India in, again, low-cost ounces, which will drive cash flow coming from that part of the world. It's a country we're comfortable doing business in. We look to expand our footprint there and that's something that we strategically look for as we look at ways to grow our output. In the fourth quarter, Pinos Altos had very strong results in terms of tonnage and grade, both being above budget. The total reserve and resource there at Pinos Altos and Creston Mascota is now around 4 million ounces, so a good solid asset. At Meadowbank, it was the largest contributor to our turnaround, an extremely strong performance. A very strong year, averaged over 10,000 tons a day at a grade of 3.1 grams per ton, which was slightly above the budget in terms of the grade. Record production, very good cost performance on a per ton basis, $88 per ton. In the fourth quarter, we averaged over 11,000 tons per day. The grade was lower, as we expected given the mining sequence. Our cost per ton were $90, so another good, strong quarter. In fact, the last 2 quarters, we averaged over 11,000 tons per day of throughput, which demonstrates that not only can we mine those volumes, we can also process them at good recoveries. The dilution is good, so whatever the block model is suggesting we should get, we are getting and despite its relatively short life, Meadowbank is still a big part of our business going forward. It's got increasing net free cash flow over the next few years and it's got a skill set that we plan to use to advance our Meliadine project. In terms of grade, over the next -- and tons over the next 3 years, we're looking for about 4 million to 4.1 million tons processed at grades that range from 2.95 to 3.1. Production should range in the 360,000 ounce per year range. So a good contributor to our cash flow. So just summing it up. We continue to be focused on just trying to build the foundation and base of our business. We're looking for steady growth, that growth is coming from our existing assets, which means it's sort of lower risk and more manageable. We've got what we perceive as being very solid, achievable production cost guidance, with growth of about 20% or so over the next 3 years. We do expect growth in reserves through exploration of existing assets, particularly at assets like Meliadine and Kittila and La India, Tarachi. Our strategy is really to try to maintain a 15- to 20-year life of reserves and that's how we're sort of focusing our exploration efforts. As we generate cash flows, we're still looking at trying to create that balance between our key baskets, one of which would be dividends. We're looking to steadily grow the dividend as our production and cash flow increase. We're looking to maintain an active exploration budget largely at our sort of key and core assets like Meliadine and Kittila and La India, Tarachi. That will continue to remain a focus. On the M&A side, our objective is to just to continue to look. We don't feel a sense of urgency to do anything but we do have the capacity and we do have the skills to continue to build the company through small selected M&A, similar to the strategy we've employed successfully over the last several years. In fact, if you look at our current reserve and resource, about 75% of that is made up from assets that we bought over the last 6 to 7 years and drilled and expanded based on an active exploration program. So it's worked quite well for us so that's going to be our focus as we move forward is looking for assets that fit, assets that we have the skill sets to manage, assets that are in part of the world where you can get mining done and create a good business. And that's just really more of the same. So, operator, I'd like to open it up for questions.
Operator: [Operator Instructions] Our first question comes from John Bridges from JPMorgan.
John D. Bridges: Just wanted to ask you about LaRonde, the difficulties there with the ramp up. You went through something similar with the bottom of the Penna Shaft some years ago. I just wonder what was sort of different to the plans that you had. What's been surprising you down there?
Sean Boyd: I think the challenge going back to the sort of middle part of the mine at the Penna Shaft is we did have some issues around one of our mining blocks back in 2003, which caused us to just slow down the development of the Level 215. This is sort of more general in nature and it relates more to lack of flexibility due to heat and congestion. And as a result of that, we're not seeing as quick a ramp up. We're sort of a year or so behind where we expected to be. This year, we did about 4,000 tons a day. We expected to be in the mid-4,000s, close to 5,000. So we were short about 600 to 800 tons a day. Next year, as we said, we expect to be at 4,600 tons a day roughly and then 5,200 tons a day in 2014 and continuing to grow that in 2015. So the challenge we have there is we can't throw more people at it. We can't throw more equipment at it. That would just increase the magnitude of the challenges around heat and congestion and flexibility. So it's really a lack of flexibility. The important thing there is we are getting the grade. So our grade profile is likely going to go up as follows: We were 2.4 last year and roughly 2.7 in '13, roughly 3.5 grams per ton in '14 and in '15, we expect to be a little over 4 grams per ton. The reserve grade here is now 4.5 grams per ton. It did go up. And so for the next few years, we're seeing increasing production but at below reserve grades in terms of mine plan, but we should see a years above reserve grade. So we don't want to push it. We're going at a pace that we're now comfortable with. But I think part of the issue is we probably overestimated our ability to ramp up in that lower part of the mine.
John D. Bridges: Right, right. Your fallback position previously was to go back up into the upper levels, which obviously you've mined out now. Do you have -- are you dusting off some of your resources in the immediate vicinity in case you continue to struggle?
Sean Boyd: We don't have a lot of flexibility in the upper mine left. Part of 2012, we did take a little bit more zinc and that's why our cash costs were roughly close to budget. We do have a sort of a contingency in our back pocket for '13, where we could go after some more zinc material, which would certainly help cash flow if we had some issues around getting the gold tons in the lower part of the mine. So we have built that in to our own internal plans, but the plan that we put forward was to do our tonnage of around 4,600 tons a day from the lower mine. We think that's achievable.
Operator: Our next question comes from Joung Park from MorningStar.
Joung Park: Thanks for just all the detailed production forecast and all in sustaining cost disclosure, that's very helpful. So first question I had was what is the decline in production at Lapa going to look like? Is it going to be a slow drawdown or is it -- are we going to see production kind of halt abruptly after 2015?
Sean Boyd: Well, the current plan there is to maintain the current production rate for the next 2 years and then we fall from around 100,000 ounce level down to about 60,000 ounces, and based on the current plan, that would be it. But we're still actively exploring. We're following up targets, following up on some resource. We do have in our reserves about 400,000 ounces. We also have about 400,000 ounces in resource, which is not in a mine plan at this point. So we're hopeful that our exploration is going to prove that up. We get sufficient continuity that it makes sense to put it in the mine plan. So there is the potential to extend that beyond 2015.
Joung Park: Okay, I see. Second question I had was on Meadowbank, congrats on the continued good results there and it looks like you guys are going to be spending quite a bit of nonsustaining capital expenditures there. So I'm just wondering what that will be used for. Is that mostly to maybe extend the mine life there?
Sean Boyd: Yes, we're developing a separate pit called the Vault pit, which is about 7 kilometers away from the main mine. So that's what that number is. There's also in 2013 some additional work to do on our dike system. Then that starts to fall away in '14 and '15, and that's why we can see our net free cash flow going up from Meadowbank. So that's a general breakdown of the trend at that asset.
Operator: Our next question comes from Jeff Wright from Global Hunter Securities.
Jeffrey Wright: I had a couple questions on Kittila, in Finland, looking at the cost coming up and going deeper, do you think we should be looking more at the mine at the 2013 cost level, since 2012 was a record year there? And a second question with Finland. There was a fair amount of maintenance that was deferred in 2012, and spaced out. Is there going to be an extended maintenance period in Finland in 2013?
Sean Boyd: Yes, I'll answer those. On the cost side, we did have a really good cost year at Kittila in terms of cost per ton and we brought that down significantly from what it was prior to 2012 at around EUR 70 per ton. We have been forecasting for 2013, about EUR 80 per ton and that's to account for going underground. We've had good cost performance so far in the underground mine. If you actually look at Q4, which was EUR 70 per ton, about 2/3 of the tonnage came from the lower mine. And so I think that's an indication things are going pretty well at Kittila in terms of the transition to the underground mine. And in January, we averaged about 3,000 tons a day, which is what we were expecting from the lower mine. So we'll need a few more months from the full underground mine to see where those costs per ton in euros settle out. I think we're comfortable with our $80 number and we're hoping to try to do better there. In terms of the maintenance shutdown, I think the question was around the autoclave. We do have an extended shutdown built into our forecast for 2013. We were able to defer some of that work from last year but we feel we will do it and need to do it this year. So that's factored in and I think the timing of that is second quarter of 2013.
Jeffrey Wright: Okay. So we should be looking for that in Q2. Then quickly looking at Mexico, clearly there's a little bit of risk with the Creston heap-leach and while you play on going back and stacking ore is that something we should look at -- as a, clearly, a variable that it might take longer, it might -- clearly, safety is a concern at some level and we should just maybe be very conservative on that number for Creston for 2013?
Sean Boyd: Yes, I'll just get Tim Haldane to answer that.
Timothy Haldane: I mean, we've given a midpoint guidance for Creston Mascota in 2013. The stacking that we're doing on Creston Mascota is on a different phase of the leach pad, basically an isolated leach pad. We could consider it to be a new leach pad. It's always a question with the heap-leach operation how quickly does the inventory build up and how does the ounce flow go. So we've given you the midpoint but technically, I'm not concerned about us getting that leach pad out.
Jeffrey Wright: Okay. So the 32,000 ounces is more of a midpoint and then once you're comfortable that all those issues are resolved, we'd get back towards -- closer to that 55,000 ounce levels going forward?
Timothy Haldane: Yes.
Operator: Our next question comes from Stephen Walker from RBC Capital Markets.
Stephen D. Walker: Maybe just a follow-up question for Tim on the -- and I apologize if this has been dealt with earlier, I missed the first part of the call. But just the reasons why the leach pad at Creston Mascota actually moved or slumped. Did you ever determine definitively what the cause of that movement was?
Timothy Haldane: Well, we put most of our effort into mitigating the movement, to make sure that movement stopped and also getting Phase II ready, putting in...
Stephen D. Walker: Is this is a geotechnical issue? I guess, what I'm asking is if this is a geotechnical issue, then the materials stacked on Phase II, is there a potential for it to move? I'm just saying, I mean, it's unusual and again, we talked about this in the last call but it's unusual to see movement in a heap-leach pad unless there was a design or a geotechnical issue, a design error, a geotechnical issue that just hadn't been picked up in the material being stacked.
Timothy Haldane: Well, yes I think you've got that right. The Phase II is designed with that in mind, the early stacking of the ore that we put on Phase II is going to be coarser, more free draining than the...
Stephen D. Walker: Okay. So potentially it was moisture buildup within the stack itself and then that ponding resulted in movement. Okay, that makes sense. With coarser material it should leach better and be more stable. Just on Pinos Altos. Sean, as you transition into underground ore, the higher grade underground ore, can you give us a sense of what the grades are going to do over the next couple of years, if you would. And then just comment on the hardness of the ore underground. I noticed that you've obviously been able to get that plant to operate in excess of 5,000 tons a day, which is very nice, but will you be able to sustain that as you go forward if the ore is harder or does the ore get harder and you can't sustain 5,000 tons a day?
Timothy Haldane: I'm going to jump in that one, too, it's Tim again. The hardness of the underground ore doesn't seem to be any different than the open pit, so we'll sustain the 5,000 tons a day. And as far as the underground grade goes, it tends to be a little bit higher silver grade. And the reserve grade, it's in the appendices to the press release but similar to the open pit grade or similar to the grade we've been mining recently.
Stephen D. Walker: Okay, perfect. Then just one last question. Just circling back on Goldex. Just if there's an update on the Québec Ministry of Mines, I believe, is continuing with an investigation and there's an ongoing or there was an outstanding lawsuit if I'm not mistaken. Can we get an update on both of those or where they stand?
Sean Boyd: From the Québec Ministry side, there's no investigation. From the lawsuit side, the U.S., we moved to dismiss the U.S. action and it has been dismissed. We have -- that dismissal is now being appealed and that's where we are there. In the Canadian class action, there's no update there at all.
Operator: Our next question comes from Anita Soni from Crédit Suisse.
Anita Soni: I guess, my question has really been asked -- sorry, asked and answered already with respect to the sustaining capital at Meadowbank. So that was with -- you're doing work on the dike system and then you said it falls away in 2014 and '15?
Sean Boyd: Yes.
Anita Soni: And additionally, the vault pit, does that also trend down or will that take a couple of years for you to develop that pit?
Sean Boyd: I think the vault is over 2 years. Yes, 2 years, yes.
Anita Soni: So similar -- sorry, what was the relative split between the 2?
Sean Boyd: Do we have that, Dave, the split between vault and...
Anita Soni: The dike system.
Sean Boyd: We'll get back to you on the split between the 2.
Operator: Our next question comes from Greg Barnes from TD Securities.
Greg Barnes: Sean, I know you're working on the feasibility study on Meliadine but what's a medium-sized mine?
Sean Boyd: What's a medium-sized mine?
Greg Barnes: Yes.
Sean Boyd: 4,000 to 5,000 tons a day.
Greg Barnes: And ballpark CapEx?
Sean Boyd: Yes, it's tough to say. It's early. It's -- Meadowbank was $800 million or so. This is going to be more expensive than Meadowbank, so north of $1 billion.
Greg Barnes: Okay. And I know you've said in the past that you're looking at phasing into Meliadine. Is the 4,000 to 5,000 tons a day the first phase that would be then expanded over time? I know over the multimillion ounce resource stuff. Is that the way we should be looking at it?
Sean Boyd: Yes, yes. Potentially, I think what we're really trying to determine now is whether we can link a Normeg-Wesmeg with the underground Tiriganiaq that could have a meaningful impact on the underground mine and its production ability. We're sort of targeting in terms of annual ounce output in that sort of 400,000 ounce range. And we're trying to figure out what's the optimal mix between open pit and underground as we start.
Greg Barnes: Does the 4,000 to 5,000 tons a day get you to that 400,000 ounce?
Sean Boyd: Yes.
Greg Barnes: It does, okay.
Sean Boyd: Yes.
Operator: [Operator Instructions] There are no further questions at this time. Please continue.
Sean Boyd: Thank you, operator, and thanks, everyone, for your attention. I know it's a busy day and if there's any follow-up questions, please feel free to give any of us a call here. We'll help you out. Thanks again. Bye.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating and please disconnect your lines.